Executive: Stacie Bosinoff – IR, The Blueshirt Group Archie Black – President & CEO Kim Nelson – EVP and CFO
Analysts: Laura Lederman – William Blair & Company Michael Huang – Needham & Company Scott Berg – Northland Company Richard Davis – Canaccord Patrick Walravens – JMP Securities Jeff Houston – Barrington Research Associates, Inc. Jeff Van Rhee – Craig-Hallum Capital Group Tom Roderick – Stifel Nicolaus
Operator: Good day, ladies and gentlemen, and welcome to the SPS Commerce's Q1 2013 Earnings Conference Call. At this time, all participants are on a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. (Operator Instructions). As a reminder, today's conference call is being recorded. I will now turn the conference over to your host Ms. Stacie Bosinoff, Investor Relations. Please, go ahead.
Stacie Bosinoff : Thank you, Operator, and good afternoon, everyone, and thank you for joining us on SPS Commerce's First-Quarter 2013 Conference Call. Joining me in the call today is CEO and President, Archie Black; and CFO, Kim Nelson. Before turning the call to the Company, I'll read our Safe Harbor statement. Before turning the call over to the Company, I will read our Safe Harbor statement. We will make certain statements today, including with respect to our expected financial results, go to market strategy and efforts designed to increase our traction and penetration with retailers and other customers. These statements are forward-looking and involve a number of risks and uncertainties that could cause actual results to differ materially. Please note that these forward-looking statements reflect our opinions only as of the date of this call and we undertake no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. Please refer to our SEC filings, as well as our financial results press release for a more detailed description of the risk factors that may affect our results. These documents are available at our website, SPSCommerce.com, and at the SEC's website, SEC.gov. In addition, we are providing a historical data sheet for easy reference on our investor relations section of our website at SPSCommerce.com. During our call today, we'll discuss adjusted EBITDA financial measures and non-GAAP earnings per share. In our press release and our filings with the SEC, each of which is posted on our website, you will find additional disclosures regarding these non-GAAP and adjusted EBITDA measures, including reconciliations of these measures with comparable GAAP measures. And with that, I will turn the call over to Archie.
Archie Black: Thanks, Stacie, and welcome, everyone. We had a great start to the year with both revenue and adjusted EBITDA ahead of guidance, reflecting strong execution and continued momentum in our growth strategy. Total revenue grew 44% to $23.8 million, and adjusted EBITDA was $2.9 million. Recurring revenue grew 47%. This quarter, we continued to expand our customer base and up-sell our existing customers, while generating additional lead through our viral network. Our analytics products continue to be a competitive offering and we're seeing great traction with our point-of-sale solutions. As the retail eco-system becomes more complex, suppliers are now positioning themselves as a strategic asset to the retailers they serve, and, in some instances, can even be responsible for trading increased sales to a more collaborative, inventory and demand planning. We see this happening in the largest retailer-supplier relationships, and we believe a trend will continue it. More retailers and suppliers work together in more collaborative ways. For example, a greater number of suppliers are realizing the power being able to analyze point-of-sale data to more efficiently match inventory with demand to a more rapidly grow their business. This quarter Burt's Bees Babies, a specialty brand supplier, and an existing SPS Commerce customer, signed up for point-of-sale analytics. Burt's is a fast-growing supplier and wants to gain insight in the consumer demand and store level inventory quantities. Burt's saw the strategic value in our robust analytics capabilities and our expertise with the retail customers with end goal of reducing over-all inventory levels and increasing sales. The largest retailers and suppliers are also setting trends in delivery methods, collaboration and e-commerce. They are embracing the power of the consumer. With consumers' ever-rising expectations for endless varieties, the best price and instant availability, retailers and suppliers must embrace the advanced capabilities, like drop-shipping and even same-day delivery services. Additionally, e-commerce has brought to the mainstream the value of having a wide variety of products and availability options. Brick and mortar stores are realizing they need to embrace these e-commerce given consumer expectations and are working in conjunction with suppliers for store and floor promotions, availability and delivery concepts. For example, one of our multi-billion suppliers use individual retail stores as another sales channel. They have historically been using our point of sales data to view what products are selling in specific stores. Now, they are taking this one step further and using the data strategically to propose purchase orders to individual stores to increase based on demand and consumer preferences specific to that store. The industry is evolving faster than ever before and these mega-trends are creating a tailwind for our business. Our enterprise cloud service makes it easy for trading partners to take advantage of these trends quickly and easily. No one else in the market has the scale, combined with the robust product footprint that enables suppliers and retailers to embrace these trends and create productive business value from them. We're also seeing traction from retailers focused on collaborating around point-of-sale information. For example, this quarter, we rolled out a SharedView- enablement campaign with Beall's, a Florida-based department store retailer. SharedView allows both Beall's and its suppliers to view the same sales inventory screens. By doing this, retailers and suppliers can work together to understand how to most productively match supply with demand. Beall's recognized the value of using SPS's service to provide meaningful insights to all suppliers and collaborate with them around the single source of information to better match demand with inventory across their entire supplier base. Looking at the rest of the year, we are very excited by our business and the market opportunity. We will continue to be focused on recurring revenue by growing our customer count and up-selling those customers. As we sit at the forefront of these mega-trends, we'll continue to lead the industry and enable our customers to do the same. With that I'll turn it over the Kim to discuss our financial results.
Kim Nelson: Thanks, Archie. As Archie mentioned, we had a great first quarter. Revenue for the quarter was $23.8 million, a 44% increase over Q1 of last year, and represented our 49th consecutive quarter of revenue growth. The increase in revenues is a result of an increase in recurring revenue customers and an increase in what we refer to as wallet share, which is the analyzed average recurring revenue per recurring revenue customer. Recurring revenue grew 47% year over year. The total number of recurring revenue customers increased 12% year over year to approximately 18,400. Wallet share increased 31% to $4,634. Excluding the Edifice acquisition, wallet share increased 13% year over year. As you look at these two metrics, it's important to remember that they work in concert with each other and it's really the mix of the two that we focus on. Total operating expenses for the quarter were $16.5 million and represented 70% of revenue. Adjusted EBITDA was $2.9 million, compared to $1.9 million in Q1 of last year. We ended the quarter with total cash of approximately $72.5 million. Now, turning to guidance. For the second quarter of 2013, we expect revenue to be in the range of $24.2 million to $24.7 million. We expect adjusted EBITDA to be in the range of $2.7 million to $2.9 million. We expect fully diluted earnings per share to be approximately breakeven with fully diluted weighted average shares outstanding of approximately 15.7 million shares. We expect non-GAAP diluted earnings per share to be in the range of $0.11 to $0.12, with stocks-based compensation expense of approximately $1.1 million and amortization expense of approximately $720,000. For the full year, I am pleased to announce that we are increasing our revenue guidance. We expect revenue to be in the range of $99 million to $100.5 million. We expect adjusted EBITDA to be in the range of $12.3 million to $12.8 million, keeping with our approach of investing any upside back into the business. We expect fully diluted earnings per share to be in the range of $0.03 to $0.05. We expect fully diluted weighted average shares outstanding of approximately 15.8 million shares. We expect non-GAAP diluted earnings per share to be in the range of $0.49 to $0.51 with stock-based compensation expense of approximately $4.4 million. We expect the amortization expense for the year to be approximately $2.9 million. For the remainder of the year, you should model a 39% effective tax rate, calculated out in GAAP pre-tax net earnings. We expect to pay normal cash taxes in 2013 due to our NOLs. In summary, Q1 was a great start to the year with recurring revenue increasing 47%. Looking for the rest of the year, we'll continue to execute against our growth strategy to take advantage of the large market opportunity we see in front of us. And with that, I'd like to open the call up to questions.
Operator: (Operator Instructions). Our first question comes from Laura Ledermann of Willam Blair. Please go ahead.
Laura Ledermann – William Blair: Thank you for taking my questions. One, can you give us assistance with the organic growth rate taking out acquisitions from total revenue, and also for recurring revenue, and then I have one follow-up as well.
Kim Nelson: Sure, the – for the quarter, the organic numbers from a GAAP revenue was 24%, and recurring revenue was 24% as well.
Laura Ledermann – William Blair: Great. Can you talk a little bit about competition with Edifice and who you're seeing there, and in general, is that coming in above expectations, just a sense of how that business is doing, who it is competing with?
Archie King : Yes. So far, the business is performing extremely well, and we're seeing continued momentum in analytics overall. We look at it as one portfolio, and as I said, we are going to add them to our portfolio. And we see a host of smaller competitors. We see a host of different competitiors. But, actually the biggest competitor, Laura, that we see is that this is very new to the retail environment. Again, the vast majority of retailers do not yet share data. And so, this is – we are, for the most part, in a lot of Greenfield opportunity today.
Laura Ledermann – William Blair: Thank you so much. I'll pass it on, and congratulations for a nice quarter.
Operator: Our next question comes from the Tom Roderick of Stifel Nicolaus Financials. Please, go ahead.
Tom Roderick – Stifel Nicolaus : Hey, guys, good afternoon. So, is it – I want to ask a high-level question here, Archie. Just in terms of your thoughts on the overall market, particularly as it relates to the overall market in the US, how do you guys think about the addressable market today and where we are for penetration in that market? Because, it certainly seems like, you're focused on the US and that has just been pretty smooth sailing for quite a long time. Are there any signs that you can pick up that you might be getting to a more penetrated state where you might look to expand internationally? Just any thoughts broadly on the overall addressable market. Thanks.
Archie Black: Tom, two different thoughts. One, we do think there's a long-term huge opportunity internationally. But, we continue to see more market opportunities in North America, and we think we're in early of a lot of mega-trends here. So, we are investing internationally. It's at a smaller scale. And, again, on the analytics side, I think we're in very, very early days. The biggest thing is, more retailers are starting to – we're starting to see a trend where they are embracing the collaboration out of necessity and ability to survive into the future. So, we think we have a lot of room domestically, and we'll continue to invest internationally.
Tom Roderick – Stifel Nicolaus : Okay. Second question is just in terms of the product roadmap for the analytics segments. So, you acquired Edifice last year and you've had TPI for a while. Can you talk about how those two products are merging or complementing each other and how you're seeing them sort of be taken by the installed base here?
Archie Black: Yes. So , under TPI is a wide range of business analytics, and then there's the point of sell-through, and we really look at the Edifice solution along with the prior SPS point-of-sale solution as really a portfolio solution, so that we can now sell to the customer the appropriate solution. Again, we had a solution, they had a solution, and as we're selling to Burt's Bees Babies, we can – as opposed to selling the products we have, we can find that what's appropriate for that customer. So, it's a much more customer-centric sale because we now have a complete, complete portfolio. The analytics side is in its early days. I mean, the point-of-sale data is lightly shared still today, and the quality and the magnitude of the data is still very lightweight. So, this is going to be a long-term runway, but we need to also be conscious of where retail is going. And, again, we think there's a real big opportunity continuing into the future.
Tom Roderick – Stifel Nicolaus : Okay. Last one – Kim – for you, just the structure of the sales force. Can you give us a sense as to how many sales heads you have you added, and then just a reminder what the goal is to add for the year? And also, what did the channel contribute this quarter?
Kim Nelson: As it relates to sales force, we exited the quarter at 158, which was a net up of 3 within the quarter. Our philosophy, as it relates to sales heads, there's a lot of opportunity in front of us. We want to continue to add sales people. We will add them to the level that we can and still hit our profit expectations. Profit definition is adjusted EBITDA, and for this year, that's the guidance range of 12.3 million to 12.8 million. As it relates to channel sales, last year channel sales represented about 14% of new business. Although, we don't update that metric on a quarterly basis, we are seeing a nice, continued traction in there and more and more business coming from channel sales.
Tom Roderick – Stifel Nicolaus : Very good. Thank you. Nice job, guys.
Operator: Our next question comes from Scott Berg of Northland Capital. Please, go ahead.
Scott Berg – Northland Capital: Archie and Kim, congratulations on a nice quarter. Hey, Archie, could you characterize – I guess, attach rates is probably the right word for the analytics products, are you seeing new consumers buy whether TPI or Edifice or any analytics products together at the same time right away with the EDI integration solution, or is it typically more just an upsell today?
Archie Black: It tends to be a one sale or the other out of the gate, and then an upsell later, primarily because one of the advantages of software as a service is there's not a bundling approach. We're after long-term recurring revenue, so people usually have one project on their sites. Now, that isn't to say that we don't see and sell as a bundled approach. As far as attach rates are upselling, again, probably the primary difference with the sales process today is that we now have to add Edifice point-of-sale solution, which is really geared more towards the larger suppliers that are more robust and more advanced, and the prior SPS point-of-sale solution, which is really geared more towards the smaller suppliers, we now have a more comprehensive selling process that we can sell whatever is appropriate to that supplier. So, when we go into a Burt's Bees Babies, we're selling them what the needs – what they need, as opposed to saying this is the product we have. We really have a portfolio that allows us to service end-to-end.
Scott Berg – Northland Capital: Great. And my last question for either you, Archie, or Kim, ARPU was up nicely in the quarter organically up 13% year over year. After a little acceleration over the last couple of quarters, which has been kind of in that 9% to 11% range, what was the different from the new sales pattern in the quarter to drive that higher?
Kim Nelson : So, as it relates to ARPU, there's many different aspects that will drive that number up, right? It's going to be a combination of mix of business. So, for example, as your prior question with specific on analytics, if a customer is with us and then decides to purchase one of the analytics products that will impact ARPU; it would not impact the customer account, if they were already a customer. Channel sales would be another example. They tend to bring up larger customers that have an impact relative to ARPU. What I would tell you is although there's two metrics we provide, which is customer and ARPU, really the combination of both of them is what translates into that recurring revenue. So, I would just remind folks that, yes, there's two components, but at the end of the day, the combination of the two is what drives that recurring revenue.
Scott Berg – Northland Capital: Thanks. I'll jump back in the queue.
Operator: Our next question comes from Michael Huang of Needham & Company. Please go ahead.
Michael Huang – Needham & Company.: Thanks very much. Just a couple of questions for you guys. So, when you guys think about up-sell activity, is there any way to qualify what's coming from these suppliers that are adding additional connections versus they're adding more product? And is there any distinguishable trend, kind of around what you see in there?
Kim Nelson: So, we provide the ARPU number, which, really would – it would have a combination of all of that in that number, Michael, the other data points we provide. So, an annual basis, we talk about the analytics products ,which would be – for the most part, a product, a customer up sell, and that was 12% of new business within the quarter. We don't dissect that to say of the total growth; how much is coming from one piece or the other. I would tell you that they are all important and equal in that of just customers adding connections, up selling customers and attracting larger customers.
Michael Huang – Needham & Company.: Got you. And so, when you guys look at the cross-section of your pipeline, and – are you seeing any interesting trends there either by the size of customer or the size of opportunity? So, I guess, I'm trying to understand whether or not, just on average, are you seeing the same supplier add more connections upfront or what are you seeing out there that might be a little bit different than what you've seen in the past?
Archie Black : I think the trend over the last two to three years, as we – we are attracting larger and larger suppliers. We are clearly moving upstream, and we're seeing and doing business with larger suppliers which equates to a larger deal. So, that is a trend, and I anticipate that that's a trend that will continue.
Michael Huang – Needham & Company.: Okay. And, last question for you, and I apologize if this is a slightly ignorant here. So, I think you had mentioned that you had a case where a supplier and retailer were sharing real-time view of inventory data through a product maybe called SharedView. I mean, is that part of the analytics suite or is that another product and how is that priced?
Archie Black : That is an analytics product, and essentially, here's the way to think about it. If a retailer shares point-of-sale data with a supplier, a supplier will take that data and put it in a format they want using, hopefully, our analytics tool. But it'll combine with other, other retailers' data and it will be around their product's queue. SharedView is designed so that the screen that the retailer and supplier are looking at are specific for that retailer. So, as a merchant and as a supplier, we can look on our screen and analyze and walk through the inventory and sales of what's happening. And so, it's the same data but the screen is fixed basically for that retailer.
Michael Huang – Needham & Company.: Okay. And again, that's paid for by the supplier, right?
Archie Black : That is paid for by the supplier.
Michael Huang – Needham & Company.: Okay. Great. Thanks.
Operator: Our next question comes from Richard Davis of Canaccord. Please, go ahead.
Richard Davis – Canaccord : Okay. Thanks. So, Archie, historically, it's always been kind of antagonistic. My understanding is kind of between suppliers and retailers, like the retailers – like, "Oh, we want to keep that data." What changing – or I mean I know you talked about like where there's need for better responsiveness. But, is it just that? Or, is it because – you know, is it because – I mean, I thought I remember back in the day. The previous forecasting, if I was a supplier, was oftentimes just driven by ship to distribution center, not to the point-of-sale. Is it just – did they became smart all of a sudden? Or, what's changing that?
Archie Black : Oh, I don't think its overnight. But, there's a general trend, where suppliers and retailers put – overused term, collaboration that if they're really going to collaborate, they need to have data to be able to collaborate on. And, almost every retailer has fewer category managers today than they had four, five years ago. So, if you want to push some of that responsibility to that supplier and have the supplier truly be collaborate with you, you have to give them the information. So, that is a growing trend that – in the case I gave you with a multi-billion dollar supplier, obviously, it was self-serving, but they we're clearly helping the retailer saying, "Store by store. Here's what product we think you should be carrying, and here's where you're light and here's where you're heavy." Because, good suppliers really realize that retailers are a channel; they're not actually an end-customer. So, it's a slow trend. The trend began with the large supplier from the largest retailers, realizing that's where the value is and that continues to drive down. It's still in the early stages though. The majority don't do that yet.
Richard Davis – Canaccord : And then, now, do you have the functionality yet to do like on-shelf management and those kind of things? In other words, can you help out way down to the store level? Or is that, perhaps, in the future someday?
Archie Black : It is dependent on the capabilities that the retailer has. If a retailer has that data and is willing to share it and depending on the timeframe; how often they're willing to share it. The reality is, there's a lot of things that you will look out in the future, I think will become more sophisticated. We're in the early stages where just having retailers share simple weekly data is not yet the norm. So, I think that's step one. We're in a position, where we believe we'll be in a position to support those changes, as they become more sophisticated. But, we're in the very early stages of even sharing basic data.
Richard Davis – Canaccord : A little of walk, before you run. But – we're in a...
Archie Black : Yes. We're ready to run but the industry is a walk.
Richard Davis – Canaccord : Exactly. Okay, cool. Thanks.
Operator: Our next question comes from Patrick Walraven of JMP Securities. Please, go ahead.
Patrick Walraven – JMP Securities.: Oh, great. Thank you, Hi, guys. Hey, Kim. Can you repeat for me just what's the organic growth rate was?
Kim Nelson: Sure, gas and recurring revenue were both at 24%.
Patrick Walraven – JMP Securities.: Okay, great. Thank you. And then, Archie, how often are you replacing some existing solution? And when you do, what gets replaced?
Archie Black : Well, almost all channel sales are probably a replacement of software because they are – those are tend to be the bigger companies that are doing something all ready, so that, in general, it will be a replacement of software -do-it-yourself. They have software or they have hardware, they install it themselves. On the low end, where – a lot of time replacing the old fax machine, where they're literally faxing out purchase orders and receiving them that way. And then, oftentimes, we're also competitive services, where people are outgrowing their smaller competitor to SPS Commerce because they want business analytics, they do have e-commerce needs, they do trade with many retailers that are on another network. So, those are, those are switches as well. So, it's a little bit of...
Patrick Walraven – JMP Securities.: So, and the last question for you is just where are you on M&A? It sounds like Edifice is pretty much integrated, so what sorts of things are you looking for?
Archie Black : So, again, we believe we have a huge organic growth opportunity and we're focused, first and foremost, on that organic growth. We are out looking, we'll look for capabilities, we don't believe we have any (inaudible) hold, so we'll look for continued capabilities on the product side or customer acquisitions. But, the threshold is – one, we have to pay a reasonable fee for the business that we're going to buy; and two, it can't do anything that will get in the way of us (inaudible) on our organic growth opportunity because that's really where the biggest opportunity is the organic growth. So, we're all looking. And if we find the opportunities, we'll take advantage of them.
Patrick Walraven – JMP Securities: Thank you.
Operator: Our next question comes from Jeff Houston of Barrington Research. Please, go ahead.
Jeff Houston – Barrington Research Associates, Inc.: Hi. Thanks for taking my questions. First one has to do with price increases. Is that something you would consider? Or, does that just kind of come naturally as your supplier customers have more volume and retailer connections?
Archie King : We have, historically, not been real aggressive on price increases; we've let the customers grow by adding additional value to the customers. I think, over time, it's something we'll look at, but, right now, we're in our very early stage as of a very large market opportunity and, we think, that we want to be that (inaudible) force in that market. So, right now, it's not on the top of our, of our minds; pricing increases.
Jeff Houston – Barrington Research Associates, Inc. : So, it sounds like it's more – just as your supplier customers are successful, they have more volume and retailer connections, you have price increases that way not through direct re-increase and the amount paid for each function?
Archie Black: That's correct. When that customer signs the contract, they know that if they do more business with us, they will pay more. We're adding more value. So, that's built it. It's – we don't have to have a conversation with the customer per se, or pricing conversation. It just happens.
Jeff Houston – Barrington Research Associates, Inc. : Okay. Then, switching gears a bit, regarding implementation times, how does that vary for larger suppliers? And what are some of the hurdles that you have to face that doesn't really exist for smaller suppliers?
Archie Black: Well, the scale of the – obviously, the project is larger, obviously they integrate to a 100 retailers to compared to one that's not integrated,, such as a larger project but it's – what we call "time to value", where there's some transactions (flowing) – can be very, very quick in these large projects. A lot of it is – comes down to what the capabilities are at the customer side and what system they have. Do the systems have easy capabilities of exporting and importing data? So, there's a lot of different variables but time to value can be very quick on large deals.
Jeff Houston – Barrington Research Associates, Inc. : All right. Thank you.
Operator: (Operator Instructions). Our next question comes from Jeff Van Rhee of Craig Hallum. Please, go ahead.
Jeff Van Rhee – Craig Hallum Capital Group. : Great. Thank you. Nice quarter, guys. Couple of questions for you. The – just Archie, first, what percent of customers are using forms versus a direct connect to an ERP or other right now?
Archie Black: Well, the vast majority are not integrated from a number standpoint because the dollar level is very small. From an economic standpoint, it's probably closer to a equal mix. The integrated product is growing faster than the non-integrated product, which is, obviously, another way of saying, we're moving upstream. We're getting larger and larger customers. So, again the way we sell the product is somewhat similar to what we do on the point-of-sale; what's appropriate for the customer? If you're doing business with 80 retailers and you have 30,000 transactions, you need to be integrated. On another hand, if you're doing business with one retailer and doing eight transactions a month, you shouldn't be integrated. It's not worth the effort. So, integrated is growing faster than non-integrated.
Jeff Van Rhee – Craig Hallum Capital Group. : And, economics being 50-50, you're referring to the revenue picture of integrated versus none at this point, right now?
Archie Black : Yes.
Jeff Van Rhee – Craig Hallum Capital Group. : Okay. And then – and so, it has not changed materially in the last 12 months?
Archie Black: Well, it continues – that integrated continues to be a more meaningful – a larger percentage because that –though that is a product that's growing faster than the non-integrated product.
Jeff Van Rhee – Craig Hallum Capital Group. : So, if it's 50-50 now, what would it have been a year ago?
Archie Black : Well, I'm not sure I'm saying, it's 50-50, they're relatively in the same ballpark but it's – the pace of integrated is significantly faster than the non-integrated.
Jeff Van Rhee – Craig Hallum Capital Group. : Okay. In terms of channel deals, how is the competitive landscape there different than a traditional more direct deal?
Archie Black: On the channel sales, the channel sales group is structured by ERP system, and each ERP system has a different set of competitors. It does tend to be a set of competitors that's more software-oriented but each ERP will have a different set of competitors. So, it is completely different competitors a lot of times.
Jeff Van Rhee – Craig Hallum Capital Group. : And so, how would the win rates in channel deals that seemly would be more competitive compared with the direct deals. What's the difference?
Archie Black : The channel sales, again, over – if you take it – it depends what segment you're looking at. If you're looking at a segment, where you have a small customer that's done – that has never done anything before and is doing – using faxes? The win rates are extremely high, when they're coming through a retailer program. If you're looking at integrated customer that's coming through a retailer- enablement campaign do a channel sales program, the channel sales would actually be higher because you're teed up by the channel sales partner that has seen SPS Commerce in action, and is our champion in those deals.
Jeff Van Rhee – Craig Hallum Capital Group. : Last one for me, the channel partners and the channel push, how has the number of channel partners changed year over year?
Kim Nelson: So, Jeff, last year we had over a 100 different channel partners give us a lead. And I don't have what that was that you're prior in front of me but it is up significantly. Maybe, the better way I have the revenue numbers in front of me if that would, if that would be helpful. So, from the revenue, meaning, new business, last year was up 14% the year before was about 10%.
Jeff Van Rhee – Craig Hallum Capital Group. : Okay. Okay, great. Thank you.
Operator: And with no further questions, at this time, I would like to turn the conference back over the Management for any closing remarks.
Archie Black : Thank you very much for listening today and supporting us, SPS Commerce. Have a great day.
Operator: Ladies and gentlemen, this does conclude today's conference. You may all disconnect and have a wonderful day.